Operator: Good day, everyone, and welcome to the Carrefour Full-Year 2022 Results Conference Call. Today's call is being recorded. And now, at this time, I'd like to turn the call over to Mr. Bompard, Chairman and CEO; and Mr. Malige, CFO. Please go ahead.
Alexandre Bompard: Good evening to all of you. Thank you for joining us for this presentation of our annual results. Before diving into numbers, I would like to make a few comments on 2022. 2022 was an intense and critical year, marked by a difficult context for our industry with the return of very high inflation in Europe, tensions in supply chains, and an accelerating climate crisis. In this changing environment, Carrefour proved the strength of its model and lived up to its commitments. I would like to emphasize this, because it demonstrates our great control over our operations and the same financial discipline, we have shown in the past five years. It is clear that 2022 has been a successful year for us. We recorded sustained growth in sales and we continued to gain market share in all our key markets, notably in France, Spain, and Brazil. I'd like to focus on France for a moment, because these are not just gains in market share by value for the second year in a row, but gains in market share in volumes. In terms of volume gains, we are definitely the market leader in 2022. This trend is critical in the current context, as it proves that our customer proposition, including formats, products, and prices, is the most attractive. In total, in France alone, we gained 470,000 new customers in 2022. Overall, we closely managed our operations throughout the year and completed annual savings plan of EUR1 billion. This enabled us to achieve a strong 8% growth in recurring operating income. Thanks to the solid management of our financial model, we generated a record level of net free cash flow at EUR1.26 billion, growing for the third consecutive year and keeping us on track to reach our goal of EUR1.7 billion by 2026. These results reflect the relevance of our model and our ability to perform well in any environment. This high level of performance extends to our social and environmental actions. In 2022, we again exceeded our annual targets, with our food transition on CSR index standing at 109%. We have made particular progress in the fight against global warming by reducing our greenhouse gas emissions, but also in packaging reduction and in employee engagement. Beyond these results, 2022 was a major year for our transformation on our strategy. After our Digital Day in November 2021, we have further accelerated our transformation as a digital retail company. First, we've taken a significant lead in the use of data with our solutions streamlining assortment, promotion on personalized customer recommendations. We have also increased the use of our applications, which results in higher customer consumption within our ecosystem and reached 15 million omnichannel customers or 19% of our total customer base. More broadly, we have outperformed the e-commerce market with 25% growth and we've doubled in size in Brazil, with further growth potential silhouette. In retail media, we've reached 450 active Carrefour-linked advertisers, and our revenues grew by 26%. In 2022, we also finalized the optimization of our geographic portfolio with a stabilized footprint in Europe and Latin America. We negotiated the sale of our stake in Carrefour Taiwan on excellent terms. So, I think there's a problem with the microphone. So, what do we have to do? Excuse me. Can you hear us? Operator?
Operator: Yes, everyone is. You're coming in through loud and clear via the audio lines.
Alexandre Bompard: I get messages from auditors saying that they hear music.
Unidentified Company Representative: Yes. On your webcast, we have some trouble. But on the conference call, it's working fine. So, I advise you to continue like that.
Operator: You proceed, yes.
Unidentified Company Representative: Yes. And we are going to check what's happening on the 
Alexandre Bompard: Can you please give a message to all the people who are on the webcast?
Unidentified Company Representative: No. For the moment, I cannot, because there are some music and I don't know where it comes from.
Alexandre Bompard: Okay. Okay, we will proceed. Thank you. So, as you see, we've become a digital retail company. So, in 2022 we also finalized the optimization of our geographic portfolio with a stabilized footprint in Europe and Latin America. We negotiated the sale of our stake in Carrefour Taiwan on excellent terms. We also refocused on growth operations that create significant value for our Group, notably, with the ambitious operation in Brazil on Grupo BIG, which consolidates our leadership in a fast growth market. Finally last, November, we initiated our new plan, Carrefour 2026, with several strategic initiatives. It defines our vision from format and products to CSR, from the organization of our headquarters to our purchasing strategy. All this was achieved, thanks to the commitment of our teams and our franchising partners. I'd like to  with you to all the word, especially in such an uncertain context. These excellent results help consolidate our strong financial situation and this allows us to step up our shareholder-oriented capital allocation policy by expanding the commitments already made over several years. First, we are proposing to increase the dividend by 8% to EUR0.56 per share for the 2022 financial year. Second, we are announcing a new EUR800 million share buyback for 2023. In total, this means that we plan to return more than EUR1.2 billion to shareholders this year, which implies a total yield of 9.4% at current share price. Turning to 2023 now. The context remains uncertain with some pressure on volumes continuing, but we are very confident in our ability to closely monitor our business and performances in this challenging environment. We will also maintain a space in the integration of Grupo BIG, completing store conversions by the end of the year. 2023 will be the first year of our new strategic plan, Carrefour 2026, and we will be strongly engaged in several of the initiatives we announced last November. Firstly, we will significantly increase the share of our private labels in order to reach 40% of our sales. Our private labels cover all the customers' needs, thanks to the wide-range of products. Moreover, we have the most competitive offer on the market with our Simpl brand, which is growing fast in revenues and increasing by nearly 10% in volumes. All this enabled us to address the changing consumption patterns of our customers. Secondly, on formats, we are accelerating the maximization, particularly hypermarkets and supermarkets, thanks to the massification of purchases and greater productivity in stores. We are also continuing to deploy lease management and franchising all formats. And we will continue the expansion of Atacadao and Maxxi in Latin America and the continued organic expansion of convenience stores and discount format in Europe. Our offer and our formats are also enhanced by digital. First, we will accelerate the digitalization of our stores, whether it be shelf-tracking, inventory management, or checkouts, we will deploy our data solution for assortment in all Group countries, and we will continue to digitize our customer experience, notably through the development of our digital applications and catalogs. In retail media, this year, we'll see the first commercial partnerships within our joint venture with Publicis. At the same time, we are putting in place our new organization in order to be even more reactive and agile and to take full advantage of synergies in our two geographies, Europe and Latin America. As for the stores, our new organization will also be more efficient and linear, thanks to the Maxxi meter. Lastly, we will develop new businesses and our new expertise. As you know, we are investing to deepen our expertise in energy, both to reduce our consumption and produce renewable electricity. In Spain, our goal is to equip more than 100 stores by the summer of 2024 for a total production potential of 75 megawatts. We are also optimizing our real estate portfolio with the upcoming creation of a real estate company in Latin America, which will be a substantial source of value creation for the Group. So as you can see, we look at the future with confidence. Over the past recent years, Carrefour has demonstrated its capacity to navigate in all types of  (ph). With this track record, with the sharp improvements we've brought to our model over time, combined with the new and ambitious initiatives that form our Carrefour 2026 plan, we know the path to success. Therefore, we are confident in our medium-term target of generating net free cash flow of at least EUR1.7 billion by 2026. We intend to good at foods, which will deliver steady growth, starting with 2023, for which we confirm that we have the objective to grow EBITDA, operating profit, and net free cash flow once again. Thank you for your attention. I will now hand over to Matthieu.
Matthieu Malige: Thank you, Alexandre, and good afternoon to everyone. I'm very pleased to be with you to go into greater detail through our 2022 financial performance. Before we get into the numbers, I'd like to remind you that Carrefour's operations in Taiwan are now accounted for as discontinued operations in accordance with the IFRS 5 accounting standard. As a reminder, all pro forma numbers for 2021 and H1 2022 are available in the finance section of our website. Let's start on slide six of the presentation, with a look at our sequential sales dynamics. As expected, sales growth increased materially through the year, driven by growing inflation in Europe, together with solid market share performance for Carrefour. Q4 growth came broadly in line with Q3 at 10.9%, like-for-like. France generated a 5.6% increase, with food sales up 7% and non-food down 3%, in line with previous quarters. Please keep in mind that inflation in France was among the lowest in Europe, thanks notably to fixed rate mortgages, a higher share of nuclear power that has limited rises in energy prices and government subsidies. Europe, excluding France, generated a 6.2% increase in like-for-like sales, with Romania and Poland leading the performance, followed by Spain, Italy, and Belgium, all posting close to mid-single digit growth. The European markets were marked in Q4 by trading down and declining volumes. Finally, Latin America delivered a 28% like-for-like increase. Brazil was up 11% over the quarter. This included a notable 14% like-for-like growth at Carrefour Retail, driven by solid sales, both in food and non-food and 10% growth at Atacadao. This growth was achieved despite some slowdown in inflation over the quarter. E-commerce in Brazil continued its very strong momentum, with GMV doubling, compared to last year. Argentina was solid once again, with sales  above inflation and 102% like-for-like, reflecting sound market share momentum and positive volume. Total reported sales are shown on slide seven. The 18% total growth over Q4 was driven both by like-for-like growth I just described and by expansion and M&A, notably the integration of Grupo BIG. Petrol contributed a positive 0.5 points, while ForEx contributed for 1.9 points, driven by the Brazilian real appreciation. As you can see on slide eight, France delivered another strong performance in 2022. Sales increased 3.4% like-for-like in the full-year. As we will see in a minute in more detail, we gained market share over the year, both in terms of value and volume. This achievement was the consequence of constant attention to our customers and a comprehensive commercial policy, which included grande pricing, efficient promotional campaigns, and a strong push on private labels. E-commerce also performed well in France, with GMV up 13% year-on-year. Carrefour has reinforced its leadership in home delivery, the fastest growing segment, with more than 33% market share. In 2022, we continued to transform the store portfolio as planned, with 43 conversions to these management, including 16 hypers and 27 supers. This dynamic will continue in 2023, with 41 planned conversions, including 16 hypers and 25 supers. All these elements, combined with strict cost discipline and daily commitment from our teams and franchise partners on the ground, drove a 10% increase in recurring operating income to EUR834 million. Let's take a look at Carrefour market share gains in volume on slide nine. Based on the Kantar data you can see here, Carrefour was the undisputed market share winner of 2022, both in H1 and in H2, when inflation started to become more material. We draw a few learnings from these numbers. First, and as we've said for a few quarters, we've been gaining more market share in volume terms than in value terms, which is evidence that Carrefour is giving out more value to customers than the market. Second, there are two clear winners for 2022, which happen to be primarily hypermarket operators. As you see, Carrefour is increasingly becoming a preferred retailer for French customers, this gives us confidence for 2022. Moving on to slide 10 and the operating margin trajectory for France. Carrefour France 2022 operating margin reached 2.2%, a 10-basis point increase versus 2021. This is clearly a satisfactory achievement in the inflationary context we face. As you can see on the graph, Carrefour France has been increasing its operating margin for the last four years in a row in all types of business environments. As presented in our strategic plan last November, we have many more exciting initiatives ongoing or being launched. They will help us reach our medium-term objective of EUR1 billion of 3% operating margin for France. Let's move to Europe on slide 11. European sales were up 4.9% like-for-like in 2022. Recurring operating income was down EUR112 million with very different operating profit performance from one country to another. While Spain had a good commercial performance throughout the year with market share gains, its profitability declined, affected notably in H2 by the increase in energy prices and a new energy tax set in July. It was also impacted by an increase in the cost of risk in the financial services business in the context of pressure on purchasing power. Belgium was also under pressure in 2022, as we already explained over the last quarter. After a difficult H1, we have seen initial signs of improvement in Belgium averaged. On the other hand, Poland and Romania did fairly well and generated earnings growth. Last, Italy kept improving throughout the year and also posted growth in recurring operating income. Let's move to slide 12 to conclude our regional overview with Latin America. Carrefour Brasil ended the year with a 12.4% like-for-like sales growth and posted strong market share gains of 80 basis points, excluding Grupo BIG, which demonstrates two elements. First, the relevance of our strategy for Atacadao in 2022, which was based on partly absorbing inflation to enhance our price leadership and drive customer preference. And second, the strength of our Carrefour brand, which attracts different customers from cash and carry uses. Digital sales also increased strongly, boosted by food sales. GMV doubled over the year. Finally, our financial services delivered a good year, with billings up 9.4% and the credit portfolio up 27%. Delinquency improved at the end of the year, thanks to the use of data analytics. A quick word on Argentina, where like-for-like sales grew by 84% over the year. We keep outperforming the market there with strong market share gains and positive volumes. In 2022, recurring operating income for the region grew by 31% or 20% at constant ForEx. In Brazil, recurring operating income was up 28% at EUR914 million. This demonstrates our sound commercial momentum in the country, together with strict cost discipline. Operating margin in Brazil decreased, due to the dilutive effect and the cost of integration of Grupo BIG. Excluding Grupo BIG operating margin in Brazil was down a marginal minus 6 basis points. Let me remind you that all operating costs associated to Grupo BIG integration are accounted for in recurring operating income. They notably include operating cost of the stores during the remodeling period, high discounts incurred to liquidate all Grupo BIG inventories, and marketing campaigns upon store reopening. Profit, EBITDA in Argentina continued to improve strongly, with operating margin up 72 basis points at 3.1%, thanks to continued outperformance. Moving on to slide 13, and a focus on the integration of Grupo BIG. We've been acting fast since the closing of the transaction in June on many fronts. At year-end, 59 stores were already converted, which is far ahead of the initial plan. Converted stores outperformed after reopening. The 14 stores sold as antitrust remedies for the transaction were disposed of, as satisfactory conditions in Q4. Synergies are being implemented in line with initial plan. The integration of teams and system is progressing well. In that context, we are happy to confirm the synergy target of BRL2 billion by 2025. Let's come back to the Group's P&L on slide 14 with operating margins and recurring operating income. Gross margin decreased by 110 basis points in 2022. This was shaped around various elements, including significant investments in price and competitiveness, the change in mix of operating modes from integrated to more franchise and lease management and a strong increase in pet wholesales that generates very low margin and, hence, weighed on the margin rate. In the strong inflationary context of 2022, the reduction in distribution cost as a percentage of sales is a good achievement and a new demonstration of the Group's cost discipline. As targeted, we delivered another EUR1 billion of cost savings in 2022. Recurring operating income reached EUR2.377 billion, up 8.3% against 2021. Recurring operating margin was down 20 basis points in total, but stable excluding the impact of Grupo BIG. Moving on to the bottom part of the P&L on slide 15. Net non-recurring income and expenses turned to a positive EUR36 million as restructuring charges were very low in 2022. Financial expenses increased significantly to EUR490 million, driven by a strong increase in interest rates and the rise in net debt, notably in Brazilian real related to the Grupo BIG acquisition. The normative tax rate came out materially below 2021 at 28.8%. This comes from both the decrease in corporate tax rate in France and the change in geographical mix. Reported net operating income, Group share from continuing operations increased 37%. Adjusted net income increased by 7.6% to EUR1.212 billion. Together with the decrease in the number of outstanding shares following last yearâs EUR750 million buyback program, this drove a 14% increase in adjusted earnings per share. As you can see on slide 16, EPS has been growing systematically in the past three years at a 14% compound annual growth rate or plus 50% versus 2019. Net free cash flow on slide 17 increased to reach a record EUR1.262 billion, comfortably above the EUR1 billion threshold as guided last quarter. We have a solid multi-year net free cash flow trajectory, which allows us to reiterate with confidence our objective to exceed EUR1.7 billion of net free cash flow by 2026, with growth every year in the meantime, starting with 2023. Let me highlight the key drivers of the 2022 cash flow growth on slide 18. As planned and as the basis of our mid-term trajectory, net free cash flow increased, primarily thanks to EBITDA, which grew by EUR306 million in 2022. Cash-out from exceptionals increased by EUR135 million. This was mainly due to an exceptional tax payment at the Bank in Brazil for approximately EUR110 million, following the loss of a case that Carrefour had initiated against the local tax authorities. Working capital contribution improved materially due to a greater increase in trade payables than in inventories and receivables in the context of inflation. This increase was generated despite the negative effect from a low in Belgium, which reduced our payment terms in the country in 2022 with a negative impact of around EUR120 million. CapEx came in line with expectations at EUR1.86 billion, of which approximately EUR160 million related to the integration of Grupo BIG and EUR380 million related to investments in real estate. The cost of net financial debt increased by EUR164 million, driven by more debt following the acquisition of Grupo BIG and higher interest rates, notably in Brazilian real. One word about asset disposals, which reached EUR379 million. It includes around EUR100 million of intangible assets, front commerce and equipment sold to franchisees. The remaining EUR280 million consists of real estate divestments as part of our real estate strategy. For example, in 2022, in Spain, we had the opportunity to purchase a portfolio of shopping malls, including Carrefour stores. We lowered the rent of these stores and then sold the portfolio back at the end of the year with a capital gain. This transaction is included both in CapEx and disposals over the period. All in, Carrefour was a net investor in real estate once more in 2022. Moving on to our balance sheet on slide 19 with the net debt evolution. Our net financial debt increased by about EUR800 million. As in 2021, our net free cash flow was mostly returned to shareholders through EUR380 million of ordinary dividends and EUR750 million of buyback. Dividend to minorities accounted for EUR101 million. M&A was driven by the Grupo BIG cash-out, which amounted to EUR862 million. At year-end, Carrefourâs net debt reached EUR3.4 billion. Credit metrics remain strong, notably thanks to the increase in EBITDA generated over the year and expected proceeds from the divestment of Taiwan. Let's conclude this presentation with a quick word on capital allocation on slide 20. In view of the good 2022 performance and our solid balance sheet, we will propose an annual cash dividend of EUR0.56 to our shareholders at our AGM in May. This is an 8% dividend growth versus last year, which is consistent with our policy to grow the ordinary dividend by at least 5% every year. In addition, we are continuing our buyback policy with a new EUR800 million buyback to be completed before year-end. I thank you for your attention. Alexandre and I are now ready to take your questions.
Operator: Great.  And we'll first hear from Izabel Dobreva of Morgan Stanley.
Izabel Dobreva: Hello, good evening. Thank you very much for taking my question. Firstly, I would like to ask you a question about your capital allocation policy. This is the third time you have increased the buyback. And your guidance is that, for the year ahead, net free cash flow should also grow. So keeping that in mind, should we expect that there is a possibility the buyback will also grow a year ahead if you meet your net free cash flow objective? That is my first question. And then my second question is around the cost of your debt, which increased, given the outstanding balance and also interest rates in Brazil. My question is, how should we think about the outlook for your interest cost and what management levers exist in order to control the spike? So I'm curious to hear what are your expectations for this line for the year ahead. Thank you.
Matthieu Malige: Thank you very much for your question. So first, on the capital allocation policy and the buyback, we presented a capital allocation policy back in November during our Carrefour 2026 strategic plan, which basically prevail -- says that net free cash flow will predominantly be returned to shareholders through annual recurring increase in ordinary dividends and recurring annual additional returns through share buyback. So I think -- clearly, it will depend on the performance in the future, but I think it's a fair assumption that as the net free cash flow increases over time, there should be an increase of the total remuneration to shareholders to accompany that dynamic. Second question on the interest expenses, so yes, as I said in my speech, increase in the interest rates expenses -- the cash interest rate expenses, excluding IFRS 16. This is due to an increase in net debt. And this net debt -- given the fact that Grupo BIG has been acquired by Grupo Carrefour Brasil, this debt is denominated in Brazilian real. So this debt has been implemented through the first half -- the first four, five months of 2022, and we have seen Central Bank interest rates in Brazil rise through the first half and then plateau from the beginning of the summer onwards. So the net debt at Group level will -- is not forecast to increase. We are anticipating a cash flow. We'll have some proceeds from the divestment of Taiwan. However, there will be some kind of a full-year effect on the Brazilian real-denominated debt and a full-year effect of interest rates -- of high interest rates in Brazil, unless these interest rates decrease later in the year. Overall, I think it's fair to assume that interest expenses will be greater -- slightly greater in 2023 than they were in 2022.
Izabel Dobreva: Thank you very much. And in terms of FUF, we should assume that the top end is the first half of the year and then the second half, they start to come down again?
Matthieu Malige: Yeah. I think that's a fair assumption. Again, we have incurred that for the acquisition. This is now behind us, both Carrefour Brasil is cash generative, the Group is cash flow generative. So we are on a path, notably in Brazil, of decreasing the debt, which has a very high cost. So I agree with you. I think we have this ramp-up effect in H1, and then we should be decreasing our debt.
Izabel Dobreva: Thank you very much.
Operator: Next, we'll hear from Sreedhar Mahamkali, UBS.
Sreedhar Mahamkali: Hi, and good evening. Thanks for taking my questions. I've got a couple, please. First one, I think -- slightly unusually, I think you called out for ROI growth, EBITDA growth -- free cash flow, I think we were expecting, at this early stage in the year. Normally, you comment a bit later in the year. The question then is, do you see this coming with a combination of sales and operating margins, or mainly driven by sales? And within that, can you give us some comfort around Europe margins who clearly hit a new low, sub 3% for the full-year? And if you can isolateâ¦
Alexandre Bompard: Sreedhar, the line is very bad. Do you mind repeating your question and speaking a little louder, if that's possible?
Sreedhar Mahamkali: Yes, yes. Absolutely.
Alexandre Bompard: That's much better. Thank you.
Sreedhar Mahamkali: Okay, okay. Very good. Okay. No, the question was, youâve slightly unusually talked about ROI growth this year, very early in the year. The question is, does this come with sales growth only mainly, or do you also see operating margin progress? And within that, the question also then is, can you give us some comfort around European margins and if we should expect them to progress? If you can call out the impact of cost of risk in Spain, financial services, that will be super helpful. So that's the ROI in Spain and Europe question. Secondly, in terms of France, we now see some headlines talking about government intervention on some 50 key items on pricing. Is there anything there that we should be thinking about? Those are the two questions. Thank you.
Alexandre Bompard: Let's start maybe with the second one, about the negotiation. As you know, we are in the middle of the negotiation process with the supplier. Suppliers have come with requests sometimes for double-digit increases. Our role as a retailer is to negotiate and make sure we limit the increase as much as we can to protect customer purchasing power. We are in the middle of this process, whereas in the same time, a law that is discussed in the parliament, but the bill is being discussed and it's very unlikely to be enacted before March 1. So meaning that it should not impact 2023 annual negotiation. And additionally, it's very uncertain to see what would be the final decision or the final text that would pass in this law. So no effect in 2023, and many uncertainties about what would really be in this law, and we monitor that very, very closely.
Matthieu Malige: On your first question, Sreedhar, we're not going to be very granular at this stage of the year on the outlook. However, in Europe, I think that if you take into account what I said about the countries, we have very positive dynamics in Romania, Poland, and Italy, and that's very positive. And this is -- we think this is really grounded in very strong commercial and operating performance. When we come to Belgium, we commented the difficult H1 back in July. And as I said, we have a better trend in H2 and we think the new management team is doing a good work. And so, we're constructive there. On Spain, so the consumer credit business, obviously, depends a lot on the macro environment. So we'll have to see how that develops. Energy is cooling down, so should -- that should ease the pressure. I think behind the pressure is the sharp acceleration of inflation, I think if it kind of normalizes and becomes more steady, I think it will ease both the pressure on consumption at our customers and also on our operating model.
Sreedhar Mahamkali: Matthieu, very quickly, what was the impact of cost of risk alone in Spain? Is there a number? Is it EUR20 million, EUR30 million of sort of magnitude?
Matthieu Malige: We're not getting into detail. The only point you have to have in mind is it's really statistical provisions. You know that very well. So it doesn't mean that the actual losses on the credit portfolio is not increasing in any significant way. It's mainly statistical parameters due to more pressure on purchasing power at our customers.
Sreedhar Mahamkali: Thank you. Very, very quick one, if I can squeeze in. In terms of cash outflow from restructuring charges, is there any ones you can give us? Also, on any planned asset disposals, if there's anything there on those two lines . Thank you.
Matthieu Malige: Well, on the 2023 cash flow, I think it's fair to assume that the cash-out from restructuring should be lower than what it was in 2022. As you saw in the non-recurring expenses in the P&L, we have announced very little restructuring in 2022 and you know there is a lag effect for the cash-out effect. So I think it's fair to assume that we'll have lower cash-outs from restructuring in 2023.
Sreedhar Mahamkali: Thank you.
Operator: And then next, we'll hear from Clement Genelot of Bryan Garnier & Company.
Clement Genelot: Good evening. Thank you. Just one from my side. You elaborated a little bit on the latest consumers' behavior. I mean, are they still trading down, and in what way between private labels, less fresh, less organic and less volumes? Thank you.
Matthieu Malige: Yes, thanks. Yes -- so yes, there has been an acceleration in trading down over the year in all our markets, particularly in H2 with all the ingredients of trading down on more private labels, more entry prices, more promotions, less fish, less organic products, et cetera, et cetera, as well as a decrease in volume, particularly in H2. In parallel, we saw consumer behavioral change with lower average baskets on higher shopping frequency. Customers came more often, but spent less per visit. Very difficult to know exactly what would -- what will happen in 2023. It will be a function of inflation -- on the level of inflation, on its magnitude. We expect in the next weeks and months further signs of trading down on pressure on volumes in the coming months as food inflation should remain high in the first semester. But what is very important to note is that in this context, as it was in 2022, compare our market share gains in value and in volume, we have a very good and differentiated proposal with a strong and comprehensive offer of private label, both and on entry price, we are a strong leader in that in terms of market share. Our mechanism of promotions on loyalty program are very efficient. Our discount formats, starting with Maxxi hypermarkets, work very well. And so, this context, of course, is complicated to manage. But we clearly see that even if the trading down continues and if the volume remains low, we have the proposals to -- the commercial proposal to attract our customers, to accompany them. And that's why we are capable to outperform competitors, as evidenced by market share data.
Clement Genelot: Very clear. Thank you.
Operator: And then our next question will come from James Grzinic of Jefferies International.
James Grzinic: Thank you, and good evening, Alexandre and Matthieu and team. I had two quick ones, the first one, it looks like there was about a EUR300 million cash impact between OpEx and CapEx from integration of BIG in Brazil in â22. I presume, given the build in synergies, the scope and the rate of integration will be similar in â23 relative to â22. So the net-net dynamics should be much more helpful in â23 and presumably once those cost of integration fully disappear in â24, you've got another hockey stick impact there. So the first thing I wanted to check is whether that rationale follows, whether the logic is robust. And I have a second one, but I'd just let you address perhaps the first one?
Matthieu Malige: Yes. I think you have a good reading. As I said in my speech, so obviously, the CapEx -- EUR160 million recorded in the CapEx line and the -- as far as the OpEx are concerned, all the transformation costs, discount on the sale of old inventory, all that is booked in the P&L. So we started to record the first synergies. It was very limited, given just a few months. It represented BRL160 million in EBIT, a fairly smaller number at this stage. And you're right, it was overcome by more costs relating to the integration and the conversion. Obviously, as time passes, we have these stores, which are converted, will start ramping up and delivering synergies. We also have progressed well on the negotiations with suppliers, be they merchandise suppliers or GNFR suppliers, that has been implemented in the course of the second half. And so, we should have the benefits of that, that will start kicking into 2023. And still, over the year, we will still have to incur some transformation costs in the P&L, because we are about halfway in the conversion. And so, we'll have more conversion cost and CapEx in 2023. And then we will not have, starting from 2024 and maybe the last few months of 2023, then we would not have this cost in the P&L anymore. And so, you will see the full effect of the synergies.
James Grzinic: Okay. Thank you. And my other question was, Matthieu, I think you -- did I understand it correctly that you reminded to use the Taiwan proceeds to retire some Brazilian high-yielding debt? I mean, there's a law that forced you by the end of â23 and judging by the Atacadao balance sheet -- closing balance sheet today.
Matthieu Malige: We've not commented or made any announcements relating to the proceeds of Taiwan. The process of approval by the antitrust authorities is still going on as planned, but still going on. So we still expect a closing around the summer of 2023 and we've not given any thoughts or made any announcements as to what would be the use of the proceeds.
James Grzinic: Great. Thank you, and well done on a great year.
Operator:  We'll now hear from Andrew Gwynn of BNP Paribas.
Andrew Gwynn: Hi, there. It's the tail end of the Q&A. So I'll just keep it to one and let you get to your Valentine dinner. But just going back to the guidance, obviously, a growth in EBITDA, operating profit, net free cash flow. But one number that's missing there or one metric missing there is net income or EPS. So should we expect any growth in net income or EPS next year? Thank you.
Matthieu Malige: Yes. Thank you, Andrew. Well, yes, we stick to the messages that we passed during our strategic plan. But I think it's fair to, indeed, assume growth in EPS. We will have further buybacks to fuel that. And again, growth which is anticipated in EBIT.
Andrew Gwynn: Okay, great. That's very clear. Thanks very much. Good evening.
Operator: Our next question comes from Xavier Le Mene of Bank of America Securities.
Xavier Le Mene: Yes, good morning. Thank you for taking my question. First one on the gross margin, actually, it was quite significantly down in 2022, and I'm guessing the positive blocks and negative ones. So can you elaborate a bit more on the sales mix, potential impact of price investment you are making? And should we expect you to continue the price investment you were making in 2022, or do you believe that you are today in a good position -- and you will have, of course, to monitor what the competition is doing, but there is no incremental price investment potentially heading into 2023? So that's my first question. The second one, back maybe to Andrew's question, you were saying that you look at the future with confidence. So can you potentially please share a bit more of this confidence and help us for the 2023 guidance? So are you able to comment potentially the consensus number, which is, if I'm right, EUR2.628 billion for the underlying EBIT? And the last question, just on the free cash flow, maybe just a technical one, but is Taiwan included in the net free cash flow guidance for 2023? And the second one, what do you expect potentially for the working capital in 2023, given the good performance in 2022?
Alexandre Bompard: First question about the context, trading down on negative volumes are not absolutely their conditions in which to operate. But as you've seen, the Carrefour model works well, gains market share, and we are capable to also deliver growing profits, thanks to strong cost cutting initiatives and good monitoring of our expenses. And for 2023, we are preparing the Group to face trading down or negative volume. And we are reinforcing our initiatives to be commercially attractive, while reducing our cost base. We -- since I took over, our strategy is always the same, is to improve our operations, reinforce our competitiveness in order to generate market share gains. And we did it and we continue to do, fueled notably by significant cost savings. This strategy is working. We deliver market share. We deliver market share in value, deliver market share in volume, and we are capable to improve the profitability and to make the EBITDA grow also. So it's exactly the same type of attitude and tactic and strategy we will have in 2023. So of course, we don't comment consensus at this moment of the Europe, but we can reinforce the confidence we have in our capability to make EBIT, EBITDA unlike on the free cash flow goal in 2023.
Matthieu Malige: Your second question relating to the consensus, so we won't comment at this stage of the year. And just on working cap, your last question, just to -- obviously, it is depending on inflation. So we'll have to see how inflation plays out in 2023. Please keep in mind that we had a negative one-off from Belgium, EUR120 million, as I said in my speech earlier.
Xavier Le Mene: Thank you. And just on Taiwan, if I may, so is it -- is the proceeds part of your free cash flow net guidance?
Matthieu Malige: No, no. The proceeds are not included in the net free cash flow. The net free cash flow is an equity of free cash flow, as you saw in the bridge to -- of net debt in the presentation. And so, M&A is on a very separate line, which is not part of the net free cash flow.
Xavier Le Mene: Okay. Thank you.
Operator: Our next question comes from Nicolas Champ of Barclays.
Nicolas Champ: Hi, good evening. Thanks for taking my questions. I have two. The first one is coming back to your growth target for this year. One is also missing. Could you please elaborate on where you see your operating margin in France evolve this year? Do you think it is still achievable to increase operating margin in France in 2023? And the second one is, could you please update us on your project? You opened the first Atacadao store in France. Given the -- that the press has recently reported your position by city, are you still confident to open the first Atacadao store this year? And maybe could you share any expansion targets for this new and exciting concept? Thank you.
Alexandre Bompard: Yes, thank you. On the first question, we maintain, of course, our mid-term objective toâ¦
Nicolas Champ: I'm sorry, but I don'tâ¦
Alexandre Bompard: Sorry.
Nicolas Champ: Yes, thank you.
Alexandre Bompard: On your first question of Carrefour France, we maintain our mid-term objective of a level of profitability of 3% or EUR1 billion. We remain confident that we can return to these levels. In 2022, we increased EBIT by EUR77 million. We reached EUR834 million, compared to EUR465 million in 2018. So you see, the improvement is impressive, and we are getting closer and closer. We are confident in the dynamics, because as you see in the presentation, the growth is built on the market share gains in parallel to cost-saving initiative and financial discipline. We are improving the model -- this model with a number of strategic initiatives, including growing penetration of our Carrefour branded products, the Maxxi meter, the further transfer to franchise, development of new business such as retail media. So we are highly confident in our capability to reach the objective we have fixed in mid-term for France. Concerning Atacadao, you know the success it is in Brazil. The objective is to open a first store in France at the end of this year or beginning of 2024. We are working on that. We are in the process of identifying the first location to fix exactly the model, to really adapt it to the French market. The work is tremendous by the team, and we will come back to you soon with the first location and the calendar of the opening.
Nicolas Champ: Thank you.
Operator: Our next question comes from  (ph) of MetLife.
Unidentified Participant: Hey, good afternoon. Thank you for taking my question. I would like to go back to the trade negotiations. So if the law is implemented from next year, you said, what is the impact that you foresee on the business, on volumes or margins? So do you expect a deviation from your outlook? And also, would you have any contingency plan in place? Thank you.
Alexandre Bompard: You know the law is discussed. So it's quite difficult to absolutely know what would be the final point. The opening point of the law was not positive for the industry, and it was not realistic and probably, it doesn't comply with European regulation. But now, the current writing of the law, where we are exactly, is more acceptable. And any way, you don't have to be worried about the impact it could have on our business. We will be capable to monitor all that. No worry for our capability to monitor the business in this new regulation context that would take place if the law passed in the next weeks.
Unidentified Participant: And I would have also another question. I mean, I appreciate that you don't want to disclose how you deploy the proceeds from the sale of the Tai business. However, going back, given that gross debt overall has increased quite significantly year-on-year, putting it in another way, do you remain committed on Moody's ratings, given that this rating is based on gross debt?
Alexandre Bompard: So again, the Taiwanese divestment process is underway. So we think it's premature to discuss about the use of proceeds. Let's have it move forward a few steps and when we reach to closing, obviously, we will be very, very precise. Our commitment is to have a -- and that's part of our capital allocation policy that we shared with you back in November, is to keep a solid investment-grade rating. This is where we are today. And so, we want to maintain this type of rating. That's very important. We think that having a solid balance sheet, given the environment, given the transformation that we are going through, the very differentiating and competitive assets, which allows us to implement our transformation with a medium-term view. So we want to keep these assets.
Unidentified Participant: Thank you. That's all from me.
Operator: And our final question for today will come from Nick Coulter of Citi.
Nick Coulter: Good evening. Thanks for taking my questions, and sorry to keep Mr. Gwynn from . One on free cash flow, please. Could you remind us of the total level of restructuring costs for Grupo BIG over the course of the integration, please? And then presumably, whilst you have efficiencies being delivered across . I'm just trying to get a sense for why shouldn't continue to see some restructuring costs coming through the cash flow? And secondly, do you think you have the right mix between own label and promotional investment as you go into 2023? And I guess, do you leave the door ajar or open for more promotional offers to take share? Thank you.
Matthieu Malige: Thank you, Nick. I'm going to try -- the line was not very good on your first one. I'm going to try to answer that. My comments on restructuring was really relating to 2023 versus 2022.
Nick Coulter: Yes.
Matthieu Malige: So again, we had exceptional cash-outs in 2022, which included this EUR110 million tax in Brazil point. So that's absolutely an exceptional point. Now, on more regular restructuring, the point is we've made legal announcements in 2022 on new restructurings. So we have a cash-out in 2022 for restructuring, which were announced in 2020 and 2021. We always have a lag effect between the announcement and the charge in the P&L versus the cash-out, which comes later. So as we did not announce any significant restructuring in 2022, I think it's fair to assume that the restructuring cash-outs will be lower in 2023 than they were in 2022.
Nick Coulter: No, it's helpful. But I guess, my point is, if you're continuing to draw out efficiencies, why should you continue to incur enabling costs to draw out those efficiencies?
Matthieu Malige: Well, a number of the efficiencies that we are implementing grow through some restructurings. And so, consequently, in some countries, it may go through some social plans and formal restructuring plans concerning some number of people. And so, this is when we have to incur some of the non-recurring expenses and cash-outs.
Alexandre Bompard: On your second question, you're right, and it's an absolutely key question, is how we adapt our strategy in the inflationary environment. The conviction we have is that we have an incredibly, I would say, precise, granular, fine-tuned approach. It is a daily basis approach. We have a very differentiated approach with a specific focus on products and categories that are the most sensitive for our customers. We reinforce in permanent the rates of our Carrefour branded products. We continue to invest in the fresh products, because we know our -- how our customers are sensitive to this product. We develop new loyalty campaigns in France. We continue to reinforce our mechanism of promotion. So all in all, the conviction we have is that the teams are doing, particularly in France, a remarkable job on this permanent adaptation of these commercial policies, and there is a clear sign. We gained market share in a continuous way, even more volumes than in value, and it's really the sign that we are capable in this complex, new environment to adapt, to monitor, to fine-tune our promotional policy.
Nick Coulter: Thank you. Long may it continue.
Alexandre Bompard: Thank you.
Unidentified Company Representative: Ladies and gentlemen, thank you. Before we wrap it up, just to -- a quick word to say. We are, obviously, sorry for the inconvenience for the few first minutes of this call. And let you know that a replay be available very shortly on the same link that you used for those of you who are on the webcast, and it will be available on our website early tomorrow morning. Thank you.
Alexandre Bompard: Thank you.
Operator: That does conclude today's conference. Thank you all for your participation. You may now disconnect.